Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to the Potash Corp First Quarter 2017 Earnings Conference Call. At this time, all call-in participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. I would like to remind everyone that this conference call is being recorded on Thursday, April 27, 2017 at 1 o'clock P.M. Eastern. I will now turn the conference over to Denita Stann, Senior Vice President, Investor and Public Relations. Please go ahead.
Denita C. Stann - Potash Corp. of Saskatchewan, Inc.: Thank you, Joe. Good afternoon, everyone, and thank you for joining us. Welcome to our first quarter earnings call. In the room today, we have Jochen Tilk, our President and CEO; Wayne Brownlee, our Executive Vice President and Chief Financial Officer; Stephen Dowdle, President of PCS Sales; Mark Fracchia, President of PCS Potash; and Raef Sully, President of PCS Nitrogen and Phosphate; and Joe Podwika, Senior Vice President and General Counsel. I'd like to welcome all those who are listening in and remind people we are live on our website. I would also like to remind everyone that today's call may include forward-looking statements. These statements are given as of the date of this call and involve risks and uncertainties. A number of factors and assumptions were applied in the formulation of these statements and actual results could differ materially. For additional information with respect to forward-looking statements, factors and assumptions, we direct you to our news release and our most recent Form 10-K. Also, today's news release, which is posted on our website, includes a reconciliation of certain non-IFRS financial measures to their most directly-comparable IFRS measures. I'll turn the call over now to Jochen for questions or comments, and then we'll go to questions.
Jochen E. Tilk - Potash Corp. of Saskatchewan, Inc.: Thank you very much, Denita. Good afternoon, everybody. Thank you for joining our call. We appreciate the opportunity to discuss our performance and what we see ahead for our company. With strong potash demand in all key markets, the positive momentum that emerged in the second half of 2016, carried into the first quarter of 2017. Improved customer engagement, particularly in offshore markets supported a 22% increase in our sales volumes compared to first quarter last year. Our potash results also benefited from improved costs following the shift of production to our lower cost mines and the absence of last year's New Brunswick closure related costs. The impact of these optimization efforts combined with higher sales volumes were primary contributors to gross margin of $160 million, surpassing last year's total. Our nitrogen earnings for the quarter were $97 million, slightly below last year's total as modestly lower prices and sales volumes more than offset reduced natural cost – natural gas costs. In phosphate, gross margin of $11 million and short of the 2016 comparable as a challenging price environment more than offset lower costs. With improved potash performance and the absence of certain notable charges, our earnings for the first quarter of $0.18 per share exceeded the last year's total. Additionally, we generated cash from operating activities of $223 million well above the same period of last year. Looking at the balance of 2017, we continue to expect a supportive potash environment. In North America, we expect fertilizer affordability and the need to replenish soil nutrients following several highly productive crop years will contribute to healthy potash demand at the farm level and support total shipments similar to last year. In Latin America, despite a recent decline in prices for soybeans and corn, robust demand is supported by favorable border ratios, substantial economic need and attractive economics for other key crops such as sugarcane, coffee and oil palm. This dynamic has underpinned a continued recovery in prices and we expect it to result in increased shipments in 2017. In other Asian countries, palm oil prices have declined in recent months, but remain at supportive levels and we're seeing plantation owners make a concerted effort to improve yields by increasing potash application rates after last year's challenging growing environment. Combined with an expectation for improved moisture conditions, we anticipate deliveries to this region will exceed last year's levels. In India, the recently announced subsidy change to potash is expected to lead to modestly higher retail prices to farmers, although the new levels are expected to remain well below the five year average. Recognizing that this may hinder a meaningful improvement in near-term consumption, we have reduced our estimate for 2017 shipments, now expect deliveries to be flat to slightly higher than last year. Potash consumption in selected regions of Northeast China, has been weaker in 2017 due to lower corn plantings. However, growing consumption in other regions, driven by strong affordability and increased acreage of potassium intensive crops, is expected to support higher shipments this year. With these factors in mind, our estimate for global potash shipments remains at 61 million tons to 64 million tons for the year. This environment has resulted in Canpotex being fully committed through May. As a result, we have raised the bottom end of our potash sales volume guidance to a range of 8.9 million tons to 9.4 million tons, factoring in lower cost of goods sold related to our Rocanville ramp up and recent potash price improvements, we anticipate potash gross margins in the range of $600 million to $800 million. In nitrogen, despite better than expected ammonia prices for the first quarter, our outlook remains cautious given urea price weakness and the likely impact of new capacity on prices for all products following the spring planting season. But importantly, global fundamentals look more constructive in the medium term as to our limited capacity additions planned beyond 2017. In phosphate, despite a lower cost profile, we maintain our view that a subdued pricing environment will limit our profitability in 2017. Combined, we forecast nitrogen and phosphate gross margin of $150 million to $400 million. Based on these factors and the other guidance items noted in our news release, we have increased our 2017 earnings projection to $0.45 to $0.65 per share, including an estimated $0.05 per share in merger-related costs. While market conditions, primarily in potash have improved in recent months, our aim is to position the company to be successful in any environment. In last year's first quarter, we made a very difficult decision to suspend our New Brunswick potash operations. And just last quarter, we initiated operational changes at Cory switching to only white product. These were difficult decisions, but as a company, we're now benefiting from an improved cost position and we'll continue to do so in the future. Our Rocanville mine is a focal point of this strategy. The new Canpotex capacity audit is underway right now and we expect our 14-day test run to commence in May. With the completion of this process we anticipate an increase to our Canpotex sales entitlement beginning July 1. With operational capability aligned to market demand and production optimized to our lowest-cost mines, we're on track to reduce potash cost of goods sold by this year by $10 per ton from the 2016 levels. For context, we have reduced our cash cost of goods sold by nearly $50 per ton or 40% since 2013. With spending on our potash expansions now complete, our capital requirements this year will be approximately half of what they were only two years ago. While we remain focused on best positioning the company for long-term success, a common question we receive is what will be the impact of new potash Greenfield mines over the next three years. It is well-documented that new competitive supply will begin ramping up later this year, and over the next three years. Although people often appreciate is the demand side. Slide 10 in our presentation highlights this point very well. Despite some inconsistency in buying patterns in recent years, particularly in the contract markets, the long-term consumption trend has been around 2.7% per year and is closely tied to increases in global crop production. If you assume the historical growth rate in potash continues, on average approximately 1.5 million tons or two million additional tons on average, one potash mine per year will be needed to meet demand growth. We think this bodes well for the long-term outlook for the potash business. I'd like to finish with a few words related to our merger with Agrium. We're excited about the tremendous value that can be created for many shareholders by bringing together two world-class complementary companies. We believe our new company will occupy a very unique position within the agricultural space. Integration teams from both companies are working hard on analyzing business processes, best practices, and evaluating synergies for the new company. As this work progresses, we remain highly confident in our ability to deliver on our synergy target within 24 months. From a regulatory standpoint, we continue to cooperate with the various enforcement agencies in their reviews and maintain our view that the transaction will close mid 2017. To sum it up, potash market conditions remain supportive and we expect this to continue through the balance of the year. Ammonia markets have held up better through the early part of the year than our previous expectations, but urea has been more challenged, particularly in recent months. We still hold our view that 2017 will be a transition year in nitrogen as new capacity comes online and higher cost production is rationalized. Importantly, we continue to take positive steps in the areas that we control. This includes following a market responsive approach, as well as a focus on optimizing our world-class potash assets while maintaining flexibility. It's an approach that we believe puts us on the path to be successful in any market conditions and best positions us for future growth opportunities. Thank you for your time. We look forward to taking your questions on our performance for the quarter, and the outlook for our business.
Operator: Thank you. Ladies and gentlemen, we will now conduct a question-and-answer session. Your first question comes from Andrew Wong with RBC Capital Markets. Please go ahead.
Andrew Wong - RBC Capital Markets: Hi. Thanks for taking my question. This is actually regarding the Trinidad nitrogen operations and the gas supply. Can you provide an update on the situation there? And then just longer term, say ammonia prices don't really rebound significantly and the index into nat gas prices stay low, is there a chance that the Trinidad government maybe just decides to curtail supply to nitrogen producers or maybe change the pricing formula there? Thanks.
Jochen E. Tilk - Potash Corp. of Saskatchewan, Inc.: Yeah. Thanks for the question. We've got Raef here to respond. I'll give an introduction and then we can actually walk you through a little bit what's happening. I mean, the government of Trinidad Tobago actually has taken significant steps recognizing the challenge, so that's the first positive step. They have spoken to major gas suppliers and exploration companies, development companies and have made good progress on a number of projects. There are projects that have been in the press for a while where there was little progress, but in recent months that really has stepped up. There was the Juniper project, there is the Dragon project with the country of Venezuela They have signed several contracts and march forward with that. That gives us certain hope and expectation that additional gas supply will come on line and that curtailment, not necessarily in the next year or two, but down the road will be less than what it was in the past. So, I'll stop right there and then turn it over to Raef for some additional flavor on those projects in Trinidad.
Raef Sully - Potash Corp. of Saskatchewan, Inc.: Thanks, Jochen. Just to add to what Jochen said. There are a number of smaller projects that have either come online already or will come online through the remainder of 2017. They are ramping up at the moment. The major one for 2017 is the Juniper project, it's due into production in quarter four and is currently slightly ahead of schedule. So, we're expecting to see curtailments decrease as we get through the backend of 2017. Now on a medium-term basis, as Jochen mentioned, they have signed a deal with the government of Venezuela to develop the Dragon field, that's a field that sits within Venezuelan waters, but will be brought online in Trinidad. The other that I need to mention is the Angelin field, the government of Trinidad and BP recently announced the sanctioning of this project, it's quite a large project, and it should be coming online in the same timeframe as the Dragon field. So expect to see some good replenishment of supplies over that three year to five year horizon. On the other front, so we know that the government is close to negotiations, we believe they're close to finalizing negotiations, the upstream supplies and we hope to engage with them through the next couple of months. So, we're quietly optimistic that we will see that situation turnaround and get to a point that will benefit both the government of Trinidad, the people of Trinidad and ourselves.
Andrew Wong - RBC Capital Markets: Okay.
Jochen E. Tilk - Potash Corp. of Saskatchewan, Inc.: Thanks, Raef. A lot of good flavor and maybe the final point you specifically asked a question whether or not the Trinidadian government would negotiate these contracts or through more curtailment. I mean, the bottom line is that there has to be more gas supply, that is the number one step the government has to take and if there is additional gas supply, reduce curtailment. The second part is that the Trinidadian government recognizes that its gas supply has to be competitive. I mean, they're well aware of the global situation and those contracts and we're not alone in that, there are other companies, we'll be negotiating in the future and the government has come out and said it understands the situation. So, we're hopeful as Raef said and we'll see how that goes in the next year or two.
Andrew Wong - RBC Capital Markets: Okay. Thank you.
Jochen E. Tilk - Potash Corp. of Saskatchewan, Inc.: Thank you.
Operator: The next question is from Ben Isaacson with Scotia Bank. Please go ahead.
Oliver Rowe - Scotia Capital, Inc. (Broker): It's Oliver Rowe on for Ben, thanks for taking the question. Given the recent capacity additions in urea in the United States, how do you see the inland premiums for UAN and urea developing in the Corn Belt specifically, in both the on and off seasons?
Jochen E. Tilk - Potash Corp. of Saskatchewan, Inc.: Yeah. Good morning, Ben (sic) [Oliver]. Really good question and certainly a question that depends obviously how some of the urea will move globally, how much of it from the U.S. will be exported versus staying in the Corn Belt. I'll leave the question open but turn it to Stephen, see if you have any more thoughts on that.
Stephen Francis Dowdle - Potash Corp. of Saskatchewan, Inc.: Yes, Ben (sic) [Oliver], when we look at urea additions in 2016 and in 2017, the ones in 2017 just coming on, we're looking at a total of 3.3 million tons, 3.4 million tons of new urea capacity. And if you see the imports last year, we imported into the U.S. 7.3 million tons. So, you just look at those two volumes and we know that the market is going to have to make some adjustments. And the expectation would be that, the imports into the U.S. would decline as this domestic production gets placed into the market. As far as looking at specific geographies to estimate inland premiums versus what you see closer to the river beds, I think it may be too early to make any clear statement about that. But I do think that, it's safe to assume, as we look into the second half of 2017 and even into 2018 that the market will need to make adjustments for this new capacity.
Oliver Rowe - Scotia Capital, Inc. (Broker): Thank you.
Jochen E. Tilk - Potash Corp. of Saskatchewan, Inc.: Thanks, Ben (sic) [Oliver].
Operator: The next question is from Chris Parkinson with Credit Suisse. Please, go ahead.
Christopher S. Parkinson - Credit Suisse Securities (USA) LLC: Thank you. Can you talk a little more about your cost reductions in potash from both the mine optimization perspective, as well as any general controls you've been targeting over the last several quarters? And just broadly, how much upside per unit cost do you think, there is in 2018 and 2019? And how directly correlated, do you believe this is on volumes? In other words, even if you're volumes are flat, how much mix upside based on your mines with Rocanville, do you believe there is? Thank you.
Jochen E. Tilk - Potash Corp. of Saskatchewan, Inc.: Yeah, thanks very much Chris, for the question. So, put that in the context as I said since 2013, we've reduced our costs, this is cash costs that I'm referring to now, by about $50 or over 40%. When you compare just to last quarter of – or the same quarter of last year I think, we were at a $138 and we're at $90 this quarter now. Last year, we – we suspended New Brunswick and we saw that impact on our costs, but now we see the benefit at $90. We expect that as Rocanville ramps up, continues to ramp-up, and as I mentioned, we're in the middle of the Canpotex audit we're expecting to have 14 day run soon that throughout the year, we can reduce our cash cost by another $10. Specifically to your question, what happens if production is flat. We will get that cost reduction because it's a shift to Rocanville and lower cost production and it's not related to incremental volume. So, we fully except to see that $10 reduction coming through this year and then staying for next year.
Christopher S. Parkinson - Credit Suisse Securities (USA) LLC: Okay. Thank you.
Jochen E. Tilk - Potash Corp. of Saskatchewan, Inc.: Thanks, Chris.
Operator: The next question is from Joel Jackson with BMO Capital Markets. Please go ahead.
Joel Jackson - BMO Capital Markets (Canada): Hi. Good morning. A couple of questions on taxes. Can you give a little more color on why you expect a near-zero tax rate for the next few quarters? And then would that tax rate stay in 2018 or any color there you can give. And on Saskatchewan royalties, it seems like you're expecting a step-down in the royalty rates for the next few quarters. Does that relate to Rocanville CapEx yields or lower price assumptions? Maybe you could help on that. Thanks.
Jochen E. Tilk - Potash Corp. of Saskatchewan, Inc.: Yeah. Good morning, Joel. I'll turn it over to Wayne, our CFO, and he can shed some light on that.
Wayne R. Brownlee - Potash Corp. of Saskatchewan, Inc.: Hi, Joel. Joel, the quarter one reduction was really a question of where our earnings are derived from and when you have lower earnings in some jurisdictions, when you have some fixed deductions it actually reduces the tax rate and that certainly happened in the United States. So that had an impact on the quarter. The reduction for the year really is a result of the corporate income tax reduction that was announced by the Saskatchewan government. It's a 1% reduction, going from 12% to 11% over the course of the next two years. As you know, from an accounting perspective, we have a deferred tax provision booked on our balance sheet and the largest majority of this reduction on the tax rate is really that reduced deferred tax rate because it would reflect the most current tax rate that's in place. So, it's non-cash item and it really is adjusting the balance sheet. The royalty rate is primarily a function of – the biggest issue is the price and of course those are down a little bit, so that would have an impact offset somewhat by the volume, but it's not substantially different, to tell you truth.
Joel Jackson - BMO Capital Markets (Canada): And for 2018, the tax rates, the corporate tax rate?
Wayne R. Brownlee - Potash Corp. of Saskatchewan, Inc.: Tax rates, I would say that the ongoing tax rate probably is in the range of 16% to 20%.
Joel Jackson - BMO Capital Markets (Canada): Thanks, Wayne.
Jochen E. Tilk - Potash Corp. of Saskatchewan, Inc.: Thanks, Joel.
Operator: The next question is from Jonas Oxgaard with Bernstein. Please go ahead.
Jonas I. Oxgaard - Sanford C. Bernstein & Co. LLC: Hey, guys. Thanks for taking my call or question. I am trying to reconcile the guidance you gave in January with the guidance you're giving today and the appreciation in potash prices. Your potash price is 15% higher today than it was three months ago and you took up your volume and yet your gross margin guidance is basically unchanged. How should I interpret that?
Jochen E. Tilk - Potash Corp. of Saskatchewan, Inc.: I think it's our expectation in terms of what we see in the markets and when you compare year-over-year, our average – our realized potash price is actually lower. It has come up in the U.S. which is very positive. It's come up in some jurisdictions, but standard in Asian markets where we set standard, prices have been lower and so on average, our realized price is somewhat lower than what it was a year ago. We're very optimistic as we see prices strengthening in Brazil and we have seen that essentially month-over-month and that's giving us some pretty positive outlook for that. But overall, our guidance really reflects that and that's where we see how this evolves in the next couple of months.
Jonas I. Oxgaard - Sanford C. Bernstein & Co. LLC: All right. Good. Thank you.
Jochen E. Tilk - Potash Corp. of Saskatchewan, Inc.: Thank you.
Operator: The next question is from Vincent Andrews with Morgan Stanley. Please go ahead.
Vincent Stephen Andrews - Morgan Stanley & Co. LLC: Thank you, and good afternoon, everyone. Just a question on the contract markets, in China, I think we all thought that contract would have been settled by now and it hasn't. So, what's keeping the two parties from reaching an agreement at this point? And then, on India, why is 400,000 tonnes sort of reduction year-over-year that volume there would be flat year-over-year. What gives you confidence in that just given that you are looking for a higher price and their subsidy is going to be lower? Thanks.
Jochen E. Tilk - Potash Corp. of Saskatchewan, Inc.: Yeah. To your first question. China, I think in its simplicity I'd say that suppliers are expecting an increase in the price over last year. And China, obviously, has a different view on that and therefore the negotiations are prolonged. I do think there is a reason to expect that contract price in China should be higher because of what is happening in other jurisdictions in our spot markets. Brazil is an example, Latin America or the United States. We're not too nervous about timing. As I mentioned Canpotex is sold out through May. Our volumes have been good. So, it's a very different situation than we had experienced a year ago, where there was a certain anxiety about moving material in our supply chain. We've seen really good demand in markets outside of China. And then Canpotex has diversified its customer base. So, it has delivered on their last year's contract 2016, in the first couple of months. So, we'll see where it goes, but the simple answer to your question is that suppliers expect an increase in the contract settlement with China. To your second point, in India, we've obviously adjusted our volumes given the increase – sorry, given the decrease in the subsidy and the changes therefore, and we think, it will slow it down. But, we also have seen reasonable demand to offset that and when you compare that to a five-year average it's still a very affordable proposition to apply potash. So, that's essentially the equation that we apply to come up with that reduction. Stephen, anything you want to add?
Vincent Stephen Andrews - Morgan Stanley & Co. LLC: Thanks very much.
Jochen E. Tilk - Potash Corp. of Saskatchewan, Inc.: Well, I'll turn it over to Stephen. He may have a bit more detail on that.
Stephen Francis Dowdle - Potash Corp. of Saskatchewan, Inc.: Yeah, just to comment on India. Yes, the subsidy for potash was reduced by $27.50, and we do expect that there will be a corresponding increase in the farmgate price. But we don't think that's really going to be too high of a hurdle to get over. We expect the farmgate price to rise to about INR 13,000. And I would note that in 2014 and 2015 the farmgate price was INR 16,000, and we had Potash demand in India of over four million tonnes. So, we may be a bit conservative right now, in what we expect for Indian demand, but at the end of the day I think when we look back what's really going to be more important than the subsidy or even the farmgate price in India is what kind of monsoon that India is expecting. And the Indian Meteorological Institute just came out a few days ago and was forecasting a normal and good monsoon. And also, the rupee if it remains stable then I think, a timely settlement of the contract should bode well for – for demand in India, this year.
Operator: The next question is from P.J. Juvekar with Citigroup. Please, go ahead.
P.J. Juvekar - Citigroup Global Markets, Inc.: Yes, hi good afternoon. There was a new shareholder agreement at SQM, where you have a 32% stake. And I think, Potash gets more of the board control compared to Mr. Ponce. So, what does that mean for you and the dividends you get there? Could we expect higher dividends for you in the future?
Jochen E. Tilk - Potash Corp. of Saskatchewan, Inc.: Yeah. So just to be factually correct, we do not have more control than an other shareholder. So, we have three positions on the board and that does not give us control. So just to be clear on that one. And I'm not quite sure, how that would relate to dividends. There is a pretty clear structure on how dividends are paid out and it's actually formulaic so I'm not sure why that would put us in a different position. Wayne, I don't know if you want to add something to that?
Wayne R. Brownlee - Potash Corp. of Saskatchewan, Inc.: It's very simple. Every shareholder gets the same dividend whether they hold Series A or Series B shares. Period. So there is no – no change in that.
Operator: The next question is form Steve Byrne with Bank of America Merrill Lynch. Please, go ahead.
Steve Byrne - Bank of America Merrill Lynch: Hi, I wanted to ask about your – your gross margin guidance for nitrogen and phosphate combined. It's – if you think about the low end of that range and taking into consideration the gross profit you generated in the first quarter, that bottom end is pretty lean. Is that basically assuming profitability from where you are at spot pricing right now or is that an assumption that things get worse from here?
Jochen E. Tilk - Potash Corp. of Saskatchewan, Inc.: Yeah. We – I think to be honest, it's more a bit of a wait and see how the markets develop. I mean, this is the guidance we provided. We did have a better quarter perhaps than we thought at the beginning, because of ammonia, but we have urea. We saw urea coming off now and we just like to see how the second quarter is going. We already talked about our somewhat conservative view perhaps for the second half given the incremental demand. And then we'll see. So for now, we'll leave that spread, your point is well taken, it is a reflection of our conservative view or cautious view for the second half of the year more than anything.
Operator: The next question is from Adam Samuelson with Goldman Sachs. Please go ahead.
Adam Samuelson - Goldman Sachs & Co.: Yes, thanks. Good afternoon. Maybe continuing in that kind of realm, in phosphates your feed and industrial pricing took another leg lower this quarter. Maybe you could talk about some of the competitive dynamics in that business? Do you think, we're near a bottom from the offshore import competition, maybe some of the cost actions you're taking in phosphates to manage through what's been a pretty tough market environment for yourself?
Jochen E. Tilk - Potash Corp. of Saskatchewan, Inc.: Yeah. No question, it's been difficult market in phosphate in liquids and two factors there, one is, it's been a wet year so far and the rain or the wet – the wet beginning of the season certainly impacted application in phosphate liquids, no question. The other one is imports, we've seen a fair amount of imports in the U.S. That had an impact on pricing. And Stephen, if you want to add more to that, I know we talked a little bit what we do on the cost side.
Stephen Francis Dowdle - Potash Corp. of Saskatchewan, Inc.: Yeah. I think the main pressure in the feed markets is definitely – we've seen imports coming into this market more aggressively, and we kind of expect that to continue. And the industrial markets – there's no particular single reason pressuring those markets. It's just a competitive environment right now. Your comment which we would concur with particularly on the industrial side is, we do think that we are at a – near a bottom of a pricing cycle, and we do, looking forward particularly, in the second half and into next year we expect to see some price recovery in those markets. But I think our main defense against that right now is to make some initiatives on our costs.
Jochen E. Tilk - Potash Corp. of Saskatchewan, Inc.: And Raef, why don't you – if you would talk a bit about the initiatives that we've taken in phosphate?
Raef Sully - Potash Corp. of Saskatchewan, Inc.: So, I think in the last 12 months, we've started quite a comprehensive look at our operations. Our intent is to try and improve our cost position, and also improve the operating rights of the various components of mine and mill. We have made some good progress. I think fixed cost reductions were well over $40 million for the year, last year. We hope to make some continued progress this year. The cost reductions we're making of course have been outweighed by some of the pricing reductions unfortunately. But we continue to make a good progress there. I think we'll continue to see that provide some support.
Jochen E. Tilk - Potash Corp. of Saskatchewan, Inc.: Maybe a final comment because your question is so very relevant. Obviously one of the opportunities that we see in the merger with Agrium is really is to combine our phosphate assets. And we've identified significant synergies by doing so and that would be a further opportunity post closing for us to materialize some significant cost savings or synergies.
Adam Samuelson - Goldman Sachs & Co.: That's helpful. Thanks very much.
Jochen E. Tilk - Potash Corp. of Saskatchewan, Inc.: Thank you.
Operator: The next question is from Michael Piken with Cleveland Research Company. Please go ahead.
Michael Leith Piken - Cleveland Research Co. LLC: Yeah. Hi. I had a question about India, kind of longer-term. There was a proposal that's been bandied about by some government officials that India might have up to $9 billion in spending to become self-sufficient in nitrogen. What do you think is the likelihood that actually moves forward and what does that mean for the long-term competitiveness of your Trinidad assets? And then similarly, if India does make this investment in nitrogen, what does that mean for the potash subsidy longer-term? Thanks.
Jochen E. Tilk - Potash Corp. of Saskatchewan, Inc.: Yeah. Good long-term question. Stephen, you talk to that.
Stephen Francis Dowdle - Potash Corp. of Saskatchewan, Inc.: I know India has been talking about growing their nitrogen capabilities for decades. And it's really – their biggest challenge is feedstock, natural gas, and their industry was built on naphtha. They have been getting away from that. To what extent the government will really make that plunge into developing sufficient natural gas capacity for that kind of growth that you referred to, I think it's everybody's guess, and we'll just have to watch. But regardless, it's probably many years into the future.
Jochen E. Tilk - Potash Corp. of Saskatchewan, Inc.: You had a second component to your question, what does that mean for Potash? Not sure I fully understood that. Are you suggesting maybe, if India becomes self-sufficient in nitrogen, it has an impact on Potash or what impact it would have?
Michael Leith Piken - Cleveland Research Co. LLC: Yeah, just in terms of the subsidy spending, would it have any impact at all if India (35:58) import as much nitrogen?
Jochen E. Tilk - Potash Corp. of Saskatchewan, Inc.: Yeah, good point. I mean, longer term we obviously look at that from an agronomic perspective and say that, the country can't – cannot skip potash applications in the long-term or not replenish soil nutrients for potassium. So, our view would be that – is it may have an impact on our short-term in terms of subsidies, and how people are trying to shift to and from different nutrients. On the long-term it would have to be really a proposition of replenishment of nutrient deficiency. And so that we think, it should not have an impact on Potash. In fact, we think, it should bode well for Potash in the long-term.
Operator: The next question is from Sandy Klugman with Vertical Research Partners. Please, go ahead.
Sandy H. Klugman - Vertical Research Partners LLC: Good afternoon. Thank you. In phosphate, what's the correlation between industrial and feed prices and the prices you see in the granulated phosphate market? And then in the past, a portion of your industrial phosphate contracts have been tied to the prior year's raw material cost, is that still the case?
Jochen E. Tilk - Potash Corp. of Saskatchewan, Inc.: Yeah, Stephen?
Stephen Francis Dowdle - Potash Corp. of Saskatchewan, Inc.: Our feed prices, they are a function of really supply and demand of the feed products. So they don't really – they're not really tied to let's say fertilizer DAP or MAP prices. They have their own distinct market and that's a similar case for the industrial phosphate products. And yes, we do have some contracts that are tied to prior year costs of raw materials and they are still in effect. However, I would point out that these contracts are nearing their termination and upon termination, will be renegotiated.
Sandy H. Klugman - Vertical Research Partners LLC: Great. Thank you very much.
Operator: The next question is from Don Carson with Susquehanna Financial. Please go ahead.
Ben Richardson - Susquehanna Financial Group LLLP: This is Ben Richardson sitting in for Don. Thanks for the question. So, India potash markets heading into second half with – you are ramping Rocanville and competitors are bringing on capacity. Are you adjusting your approach to the marketing in potash or adjusting from an inventory standpoint?
Jochen E. Tilk - Potash Corp. of Saskatchewan, Inc.: Yeah. I think you have to put that in the context of our overall shipments and then – and look at our portion. I mean, India is not – I mean, it's obviously an important market for us, but it's not a huge market. So, when you look at the adjustment we made and the impact it has really on our sales, it's quite marginal actually, so it does not have a huge impact. So, I wouldn't call it a shift in approach at all. In fact, our approach is pretty consistent. It's more a response to the adjustments that were made by the government on the subsidy reduction.
Ben Richardson - Susquehanna Financial Group LLLP: Okay. And in North America into the back half. I guess would you expect any sales season pressure on prices specifically in the domestic market?
Jochen E. Tilk - Potash Corp. of Saskatchewan, Inc.: Stephen, do you want to comment on the domestic market?
Stephen Francis Dowdle - Potash Corp. of Saskatchewan, Inc.: Yeah, the domestic market as you know right now in our season and we are seeing – the season is a little bit slow to take off. We are just slightly behind in the planting progress, but I would say that where we have seen, we're in the geographies where the weather has allowed us to really begin planting and getting into the ground there. We've seen potash demand being quite good. So, that's encouraging, that's all about the value proposition that we talk about with potash prices being where they are at, commodity prices being where they're at. So I think that's a good thing and as we go through the next several weeks here, as weather allows us, I think we'll really begin to see what the season is going to be like. As we go into the second half, one change that I think you were alluding to is we do expect to see the legacy project come up – come on during the second half, we're not expecting huge volumes coming out. We think, from what we hear, that the ramp up will be rather slow. So we're not really anticipating a huge disruptive impact. I think when you look at the balances in the market, there'll always be a balance between that new supply, and also the offshore supply that comes in through imports. And we'll just have to wait and see if there is any impact there. In other words, does the legacy volume become additive to normal import volumes or will import volumes be lower, and therefore the total of these two sources will be unchanged. So, these are things that we're looking at. But I think, overall, we don't really anticipate that there'll be anything unusual in the second half that would cloud our vision on demand.
Ben Richardson - Susquehanna Financial Group LLLP: Outstanding, thank you.
Jochen E. Tilk - Potash Corp. of Saskatchewan, Inc.: Yeah. And I think several suppliers have indicated, including Canpotex, they're committed through May, and some even beyond that, which I think is again different than a year ago, and we'll see how that impacts imports in U.S. But I think your question will probably come-up again next quarter, and then we'll have probably, maybe, a better or more detailed answer then.
Ben Richardson - Susquehanna Financial Group LLLP: Thank you much.
Operator: The next question is from Jacob Bout with CIBC. Please go ahead.
Jacob Bout - CIBC World Markets, Inc.: Good afternoon. Given that the ramp at Rocanville, can you talk a bit about your ability or appetite to further manage your potash portfolio? Maybe just walk us through the ability to shut-down other mines, and what type of cost savings would be associated with that?
Jochen E. Tilk - Potash Corp. of Saskatchewan, Inc.: Yeah, Jacob. Thanks. So, just for clarity, we do not anticipate any further material changes to those that we have already communicated and the biggest change really is the ramp up of Rocanville to its capacity, the Canpotex audit, and then, running Rocanville at a steady state. We've made adjustments obviously through suspension of Brunswick to the switch at Cory to all white. And then, we've talked about some inventory and maintenance shutdowns in our operations. We believe that will address any of the issues in terms of optimizing our portfolio and running it at a lowest cost that we can see. So, beyond that point, we haven't really looked into anything and we don't think that's necessary because we do think that as we get our costs to the point that we have suggested, we really have reached a steady state. So, significant steps that we took, no question about it. But we see the benefit now and we're very optimistic as the Rocanville ramp up is going quite well that come the middle of the year, we'll reach that steady state.
Jacob Bout - CIBC World Markets, Inc.: Thank you.
Denita C. Stann - Potash Corp. of Saskatchewan, Inc.: Joe, we'll have time for just one more question at this point.
Operator: Thank you. The next question is from John Roberts with UBS. Please go ahead.
John Roberts - UBS Securities LLC: Thank you. On slide 12, I think the U.S. capacity is largely up for ammonia. Is Iran also largely up and how does this slide look going forward from here, from mid-year?
Jochen E. Tilk - Potash Corp. of Saskatchewan, Inc.: So, we're – we're just flipping pages here to reconcile. Can you perhaps (44:55)
John Roberts - UBS Securities LLC: This is slide 12 on the nitrogen market. So, I think, again, the biggest slug of new additions is in the U.S., but I think that's largely up already at this point.
Jochen E. Tilk - Potash Corp. of Saskatchewan, Inc.: Stephen, any --?
Stephen Francis Dowdle - Potash Corp. of Saskatchewan, Inc.: And, John, what was your question exactly?
John Roberts - UBS Securities LLC: So, is it – it's unbalanced obviously looking at the first half of the year where the U.S. had the large expansions come up, how does it look going forward from here?
Stephen Francis Dowdle - Potash Corp. of Saskatchewan, Inc.: You mean for new capacity?
John Roberts - UBS Securities LLC: Right. I think it's much more balanced isn't it, as we go forward?
Stephen Francis Dowdle - Potash Corp. of Saskatchewan, Inc.: Yes. I mean there is no question, we're seeing the bulk of the new capacity. I think it is already either very, very close to being online or already online. So, on a go-forward basis we're not expecting significant new capacity in – the one big development that we will see and we expect that here at the end of the quarter, of fourth quarter in 2017 is the Yara, BASF in Freeport, and that's probably, at 750,000 tonnes, a very large capacity. But we have factored that into our plans, that demand had been supplied from Trinidad and we have made and we've talked about this before as this new capacity comes on, it is going to result in shifting trade patterns. And this is in fact what is happening now we're seeing ammonia being traded in different trade patterns than it was before, and we are certainly part of that as we look into our 2018, the deepwater ammonia plan, it's going to look quite different than what we have been doing in previous years. So, we're adjusting and I think other producers will be adjusting well and as you look forward into 2018 or even 2019, certainly in North America, we don't see anything with respect to new ammonia capacity coming on. And so that certainly will give them the market time to adjust to these new trading patterns.
Jochen E. Tilk - Potash Corp. of Saskatchewan, Inc.: And – sorry, to add to Stephen's point and for clarity, John, our outlook is quite positive and constructive post-2017. So we share your view, your comment that you said in the first half we look at that in 2017 throughout the year, but we think that there is very little capacity coming on past that point. The market will absorb that. As Stephen said, trade patterns will adjust and our outlook is actually quite constructive post-2017, looking into 2018.
John Roberts - UBS Securities LLC: Then as a quick follow-up, do you think you'll report another quarter as a standalone company?
Jochen E. Tilk - Potash Corp. of Saskatchewan, Inc.: I can't answer that question. I don't know.
John Roberts - UBS Securities LLC: Okay, all right. Thank you.
Operator: Ms. Stann there are no further questions at this time.
Denita C. Stann - Potash Corp. of Saskatchewan, Inc.: Thank you, everyone. If you have any questions, please don't hesitate to give us a call back at the office. Thanks, and have a great day.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.